Operator: Good day, ladies and gentlemen, and welcome to the CDW Second Quarter Earnings Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. I would now like to introduce Chairman and Chief Executive Officer, Mr. Tom Richards. Please go ahead, sir.
Thomas E. Richards - CDW Corp.: Thanks, Andrew. Good morning, everyone. It's a pleasure to be with you today to report our second quarter 2018 results. This is an exciting anniversary for us. It's been five years, since our first earnings call after our June 2013 IPO; and once again, we delivered another quarter of strong results. Joining me in the room today are Collin Kebo, our Chief Financial Officer; Chris Leahy our Chief Revenue Officer; and Sari Macrie, our Vice President, Investor Relations. As is our practice, I'll begin today's call with a brief overview of our results and key drivers. Chris will review customer end-market performance and Collin will take you through a more detailed review of our financial results, capital priorities, and performance targets. Then we'll go right to your questions. But before we begin, Sari will present the company's Safe Harbor disclosure statements.
Sari L. Macrie - CDW Corp.: Thank you, Tom. Good morning, everyone. Our second quarter earnings release was distributed this morning and is available on our website investor.cdw.com along with supplemental slides that you can use to follow along with us during the call. I'd like to remind you that certain comments made in this presentation are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Those statements are subject to risks and uncertainties that could cause actual results to differ materially. Additional information concerning these risks and uncertainties is contained in the Form 8-K we furnished to the SEC today and in the company's other filings with the SEC. CDW assumes no obligation to update the information presented during this webcast. Our presentation also includes certain non-GAAP financial measures, including non-GAAP earnings per share. All non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You'll find reconciliation charts in the slides for today's webcast as well as in our press release and the Form 8-K we furnished to the SEC today. Please note that, all references to growth rates or dollar amount increases in our remarks today are versus the comparable period in 2017 unless otherwise indicated. In addition, all references to growth rates for hardware, software, and services today represent U.S. net sales only, and do not include the results from CDW UK or Canada. Also note that our 2018 and 2017 net sales amounts are reported under accounting standard ASC 606. The number of selling days in the first and second quarter was the same in both 2018 and 2017. Our sales growth rate references during the call will use average daily sales unless otherwise indicated. A replay of this webcast will be posted to our website by this time tomorrow. I also want to remind you that this conference call is the property of CDW and may not be recorded or rebroadcast without specific written permission from the company. And with that, let me turn the call back to Tom.
Thomas E. Richards - CDW Corp.: Thanks, Sari. We had another quarter of strong and profitable top line growth. For the quarter, consolidated sales were $4.2 billion, up 7.6% versus last year. On a constant currency basis, sales increased 7%. Gross profit increased 8.6% to $696 million. Adjusted EBITDA increased 9.6% to $345 million and non-GAAP net income per share increased 35% to $1.38. On a constant currency basis, non-GAAP EPS increased 34.5%. Our consistent performance since the IPO has been driven by three factors: first, our balance across customer end-markets; second, the breadth of our products and solutions portfolio; and third, our ongoing investments in our three-part strategy for growth. Let's take a look at how each contributed to this quarter's performance. First, the balance across our customer end-markets. As you know, we have five U.S. sales channels; Corporate, Small Business, Healthcare, Government and Education. Each of these channels are meaningful businesses, generating annual sales of more than $1 billion. This scale enables us to further align sales teams into vertical customer end-markets, including K-12, higher education, state and local government, and federal government. In addition, we have our UK and Canadian operations, which together delivered 2017 sales of more than $1.5 billion. These unique sales organization serve us well, when end-markets behave differently from each other. Sometimes that occurs because markets are disrupted by macro or external changes, sometimes it occurs when customer behavior differs due to different priorities. Our balanced portfolio of customer end-markets is one of the hallmarks of our ability to generate consistent profitable growth. Chris will walk you through more on this quarter's results by end-market. Chris?
Christine A. Leahy - CDW Corp.: Thanks, Tom. Good morning, everyone. The power of the diversity of our customer end-markets is clearly evident this quarter. Five of our seven U.S. based customer facing end-markets as well as both of our international operations posted top line gains. This more than offset declines in two of our end-markets enabling us to deliver our consolidated 7.6% top line increase. Corporate had an excellent quarter with sales up 10%. Client refresh remained healthy, driven by strong employment and customers' continued use of client devices to drive productivity. This contributed to strong transactions growth for the quarter up mid-teens, very impressive results, given last year's second quarter low double-digit transaction growth. At the same time, the team was generating double-digit transactions growth. They also delivered a mid single-digit increase in solutions as they continued to help customers drive digital transformation into their businesses. While customers are not explicitly pointing to tax reform as the driver of incremental spend, it does feel as though it has spurned corporate customer confidence in the economy to move forward with their existing spending plans. In the Small Business market, confidence remained strong and the team posted a 5% increase in net sales. Client refresh drove a mid single-digit increase in transaction and the team's focus on driving profitable sales drove meaningful product margin improvement. As a segment, public was flat for the quarter. Performance varied across channels and within customer end-markets. Government was down just under 6%. Results were mixed across our two customer end-markets with state and local up and federal down. State and local performance was solid, even as they jumped from tough compares when sales were up nearly 20%, in part from on-boarding and new large state contract last year. Two factors impacted federal performance in the quarter. First, the impact of difficult client device compares given our second quarter 2017's success meeting the Department of Defense mandate to move to Win 10. Second, the impact of timing. Here, we had a double hit with shift into the second quarter of 2017, which you may recall included the shipment of 2016 orders that had been delayed to the Department of Defense and then we had shifts out of the second quarter in 2018 with order delays. Also, given our success helping customers adopt cloud in both government end-markets, solutions delivered to government customers via the cloud more than doubled in each end-markets, which muted top line growth. Education increased 1%. Again, we saw different results from each end-market with Higher Ed up and K-12 down. Higher Ed continued its success maximizing contract capture and client refresh remained strong. As we shared last quarter, K-12 is moving through a transition as school systems digested digital devices and networking investments they have made over the past five years and focus on collaborative learning environment. Although, lapping last year's record breaking Chromebook sales, K-12 delivered growth in transactions. This was offset by declines in networking as schools continues to digest last year's strong networking investment. In addition, as you may recall, in 2016 E-Rate funding was delayed, which pushed spending that typically occurs in the back half of the year into the first half of 2017. Healthcare had another good quarter increasing 6%. Similar to the first quarter, the team helped customers address pent-up demand, primarily in client devices. While the fate of the Affordable Care Act, Medicaid funding and overall reimbursements remained a concern, customers did move forward with projects that they determined needed to be addressed and transactions increased double-digits. Our other results, which reflects Canada and UK combined, increased 34% in U.S. dollars. Both operations continued to deliver exceptional local performance (9:25) increasing more than 25%. Investments made in further refining our go-to-market and growing our Canadian solutions capabilities continue to pay off. We had balanced growth in Canada across both transactions and solutions, both up high-teens in local currency. Once again, UK results came in above expectations. UK had excellent results across both transactions and solutions. Despite looming Brexit decisions, the team continues to execute well in market. They are also doing a great job leveraging our international capabilities to grow outside of the UK, both with UK-based customers and U.S.-based customers. U.S. referral to the UK increased over 30% in the quarter compared to the prior-year. So as you can see our balanced portfolio of customer end-markets delivered a very good top line growth quarter on a consolidated basis. That wraps up the summary, Tom.
Thomas E. Richards - CDW Corp.: Thanks, Chris. Clearly the diversity of our end-markets was a key driver of this quarter's performance, but our sellers' success regardless of the end-market they serve is a direct outcome of their ability to provide what customers want and need. And that is where the second driver of our performance this quarter comes in, our broad products and solutions suite including our on-prem and off-prem offerings. U.S. hardware sales increased 6%. Total U.S. client devices increased low double-digits. This is particularly noteworthy, giving last year's mid-teen increase, which included record Chromebook sales and this quarter's decline in federal client device sales. Video delivered another double-digit growth quarter, powered by digital signage and large monitor formats. Interactive flat panel growth was particularly robust as price points in this category are becoming more competitive to static displays. After a lumpy 2017, servers delivered its second consecutive quarter of double-digit growth, up nearly 20%. These strong results were partially offset by our NetComm and storage performance. After the first quarter recovery from year-end supply chain issues, shipments did not keep pace with our writings and U.S. NetComm sales declined low double-digits. We remain encouraged about the category as backorders remained strong over the past 30 days and we expect the majority of these orders to ship in the third quarter. Strong flash results, which increased 20%, were not enough to offset overall storage performance and the category declined mid single-digits. Overall, U.S. services increased 3%, primarily driven by double-digit growth in warranties, which was partially offset by services tied to networking like cabling and storage. For the first time in more than a year, our gross margin improved year-over-year, despite our strong client growth, which would typically pressure margin. One of the contributing factors was our software performance. U.S. gross profit from software grew low double-digits, meaningfully faster than net sales, which were flat year-over-year. One driver of this success, we had in the quarter, helping our customers move forward with solutions delivered via cloud, particularly in government and education as you heard from Chris, which are netted down for accounting purposes. Overall, customer spend on cloud-based solutions was up nearly 40%. Productivity, our largest workload had another great quarter, up nearly 40%. Security delivered via cloud was one of our top three fastest growing workloads, the other two were business analytics and backup. All three grew at least high double-digits. In total, we had strong U.S. transactions growth, up high single-digits, solid solutions performance in Corporate was muted by cloud success, delays in federal orders and customer transition in K-12. While U.S. solutions were flat, gross profit increased mid single-digits. For the UK and Canada, we saw excellent increases in solutions together up high-teens. Clearly, the breadth of our products and solutions portfolio enables us to evolve with our customers and deliver profitable growth. And that leads us to the third driver of our performance of this quarter. The ongoing investments we are making in our three-part strategy. During the quarter, we continue to make excellent progress executing the strategy, which is to first, capture market share from existing and new customers; second, expand our solutions suite; and third, enhance our services capabilities. One way to capture market share is by understanding your customers' business as well as you understand technology. A great example of this in action, is the success we have seen in our financial vertical within the Corporate end-market. We launched this vertical back in 2014 with the mandate to grow their market faster than the overall Corporate business. And they certainly have been doing that. Dedicated sales teams are aligned around three financial markets; banks and credit unions, capital markets and insurance. Each of these teams understands their market's unique needs. We have highly knowledgeable co-workers who have deep expertise in the areas these customers prioritize. For example, in capital markets, we can deliver high-performance compute and artificial intelligence capabilities, customers need to drive their competitive advantage. We have nearly 100 sellers dedicated to this vertical and through the second quarter they are on pace to deliver four years of double-digit growth. Our second strategy is to continuously expand our solutions capabilities. By doing so, we capture important pockets of growth across the IT landscape and ensure we remain relevant to customers. We accomplish this in two ways. First, we invest in co-workers to ensure we can support customer adoption of new technologies. The creation of our cloud practice in 2011 and our ensuing investments is a great example of that. The second way, we expand our solutions capabilities is by adding partners, which provides both innovation and a source of growth for us. In the second quarter, we added AWS to our portfolio to supplement our already very strong Microsoft Azure offering. Our AWS offering includes CDW delivered professional and managed services. Our managed service offerings include 24/7 remote incident cost and service level monitoring. It also includes technical account reviews and assessments. These professional services are designed to help our customers through the entire life cycle, including migration and integration services. This is a controlled rollout to two of our customer end-markets. By doing so, we will be able to evaluate our offering and refine it as we learn what's best for our customers. As such, we don't expect the impact on 2018 performance to be meaningful. We are taking a measured approach to rolling this out with a keen eye on ensuring the best possible customer experience. In this hybrid world, our broad portfolio enables us to capture profitable growth in both on-prem and off-prem solutions. Over the past 12 months, CDW customers have spent roughly $3 billion on solutions delivered via the cloud. As Chris mentioned earlier, one area that is contributing to this growth is the success we are having helping our government customers both state and local and federal adopt cloud solutions. We're seeing more and more government cloud adoption as IT organizations set out to drive greater focus on accountability as well as enhance cybersecurity and shared services outcomes. Agencies aren't just integrating cloud into their IT strategies. They are integrating cloud into their overall strategies as a way of driving change. A great example of this is the solution we provided to a civilian government agency to help them with their mandate to improve operations. Not an easy task for a complex organization. Before they formulate any action plan, they need to deeply understand their operation and to do that they need to find a way to call through volumes of data. Our solution provided a cloud-based analytics and business intelligence capability, which identifies patterns and trends to help the agency make fact-based decisions. Since the solution is available as an enhanced feature to an existing package, it can be integrated into their current operations. The total cost of the solution to the agency was over $2 million. Of course, cloud sales like this, do pressure the top line since we only book our profit as net sales; but at the same time, they contribute to enhance profitability and just as important, customer value. Our third strategic priority, which is to continue to enhance our services capability, is also contributing to our profitable growth. Our services capabilities were one of the main reasons we won the award to provide Device as a Service as a solution for the 2020 U.S. Census. We combined our service and logistics capabilities with our broad product portfolio and deep partner relationships to create a mobile technology solution that supports field data collection. Our solution includes the provision of mobile devices and accessories, custom design configuration, wireless services, deployment and secure asset management, along with helpdesk and field support. Similar to AWS, this is not expected to impact our 2018 performance, but it is another great example of how our investments and solutions and services are driving profitable growth in 2019 and beyond. That leads me to our expectations for growth for the remainder of the year. Given first half market performance, our current view of 2018 U.S. IT market growth is for full-year growth in the 3 range and 3.25 range up 50 basis points from our prior view. In addition to increasing our view of market growth, given our strong performance to-date, we also expect to exceed our prior target of growing a little more than 300 basis points above markets and we currently look for outperformance of roughly 375 basis points. With these expectations along with the strong growth, we have seen in our UK and Canadian operations, we are upping our plans to add customer-facing co-workers from our initial view of adding between 100 and 125. For the full-year 2018, we now expect to add between 125 and 150 net customer facing co-workers. These co-workers include account mangers, field sellers, solution architects and service delivery engineers. We ended the quarter up roughly 75 customer facing co-workers, since the beginning of the year. As you can see, we feel good about the balance of the year. That said, this could change based on a number of factors, how the U.S. economy performs? What happens with trade? What happens with tariffs? What happens with Brexit? And are there any potential supply dislocations? We'll keep a watchful eye on all of this as normal and update our view as we move throughout the year. Now, let me turn it over to Collin.
Collin B. Kebo - CDW Corp.: Thanks, Tom. Good morning, everyone. As Tom indicated, our second quarter financial results reflect the combined power of our balanced portfolio of channels, breadth of product offerings and ongoing investments in our three-part strategy for growth. They also demonstrate the progress we are making against our long-term financial strategy to drive strong cash flow, deliver sustained profitable growth and return cash to shareholders. Before I get started, I'd like to remind you that all of the financial information I will review reflects the adoption of ASC 606, so it is an apples-to-apples comparisons for 2017 and 2018. Turning to our P&L, if you have access to the slides posted online, it will be helpful to follow along. I am on slide 8. Consolidated net sales were $4.2 billion, or 7.6% higher than last year on a reported and average daily sales basis. Average daily sales were $65.4 million for the quarter. On a constant currency basis, consolidated net sales in the second quarter of 2018 were 7% higher than prior-year. Currency impact was driven by favorable translation of the British pound and Canadian dollar, adding roughly 60 basis points of growth. Currency tailwinds were approximately 60 basis points lower than the first quarter. On an average daily sales basis, sequential sales were up 16% compared to the first quarter of 2018. As expected, this is slightly lower than our historical Q1 to Q2 average daily sales increase, due to the 2017 year-end delayed orders that shipped in the first quarter. Gross profit for the quarter increased 8.6% to $696 million. Gross margin in the second quarter was 16.6%, up 10 basis points over last year and down 10 basis points sequentially from the first quarter. The year-over-year margin expansion reflected improved product margin from customer mix and positive contribution from U.S. cloud growth, partially offset by other netted down streams not going as fast as sales. Turning to SG&A on slide 9. Reported SG&A, including advertising expense was roughly 5% higher than last year. Reported SG&A includes $11 million of non-cash equity compensation and $0.5 million of other costs, including cost related to payroll taxes on equity-based compensation. Our adjusted SG&A including advertising increased 7.9% compared to last year. The increase in adjusted SG&A, primarily reflected increased co-worker costs, including sales compensation consistent with higher gross profit and higher attainment against goals. Co-worker count was up roughly 130, since the second quarter of 2017 to 8,917. Adjusted EBITDA for the quarter was $345 million, an increase of 9.6% compared to the prior quarter. This resulted in an adjusted EBITDA margin of 8.2%, 10 basis points higher than the second quarter of 2017. Looking at the rest of the P&L on slide 10. Interest expense was $37 million in the second quarter of 2018 compared to $36 million in the second quarter of 2017. The increase is primarily a result of the amortization of hedging costs associated with interest rate caps. GAAP taxes in the quarter were $57 million, which resulted in an effective tax rate of 25% compared to an effective tax rate of 28% in the second quarter of 2017. As you can see on slide 11, the reduction in effective tax rate primarily reflects the year-over-year impact of lower federal tax rates, which more than offset the impact of lower excess tax benefits from equity-based compensation. Moving to slide 12. On a GAAP basis, we earned $173 million of net income, an increase of $32 million or 23% compared to the second quarter of 2017. Our non-GAAP net income, which better reflects our operating performance was $213 million in the quarter, up 31% over the last year. Non-GAAP net income reflects after-tax add backs that fall in four general buckets: the ongoing amortization of purchased intangibles; equity compensations and related payroll taxes; integration expenses; and other non-recurring or infrequent income or expenses. To get to our non-GAAP effective tax rate, we adjust taxes consistent with non-GAAP add backs, including excess tax benefits associated with equity-based compensation. For the second quarter of 2018, our non-GAAP effective tax rate was 26%, down 11 percentage points compared to last year's 37% rate primarily due to the lower federal tax rate. Our non-GAAP effective tax rate of 26% applied to our non-GAAP pre-tax income of $288 million resulted in non-GAAP net income of $213 million in the second quarter of 2018. We've provided a more detailed reconciliation in our earnings release, as you can see on slide 13. To calculate our non-GAAP pre-tax income, you can get to this measure starting with either adjusted EBITDA or GAAP pre-tax income. With second quarter, weighted average diluted shares outstanding of 154 million, we delivered $1.12 of net income per share and $1.38 of non-GAAP net income per share, up 35% over the prior-year as you can see on slide 14. Currency impact on EPS added about 50 basis points to second quarter growth. Turning to first half results on slides 15 through 18. Revenue was $7.8 billion, an increase of 9% on a reported and average daily sales basis. On a constant currency basis, consolidated net sales in the first half of 2018 were 8.2% higher than the prior-year. Gross profit in the first six months of 2018 was $1.3 billion, up 8.8%. Gross profit margin was 16.7%, which was flat to the first six months of 2017. Adjusted EBITDA was $625 million, 10.6% above the first six months of 2017. Net income was $300 million for the first half of 2018. Non-GAAP net income was $376 million, 32% above the first six months of 2017. Non-GAAP net income per share was $2.44, up 38% from the first half of 2017. Turning to our balance sheet on slide 19. On June 30, we had $101 million cash and cash equivalents and net debt of $3.1 billion. Our cash plus revolver availability was $1.2 billion. Net debt to trailing 12-month adjusted EBITDA was 2.5 times at the low end of our target range of 2.5 times to 3 times. Our current weighted average effective interest rate on outstanding debt is 4.1%, 10 basis points below last year, primarily due to re-pricing the term loan, which lowered the margin to 175 basis points. While LIBOR increased year-over-year in the second quarter, the impact on interest expense was minimal, given the 1.5% caps we have in place on our term-loan in the amount of $1.4 billion. These 1.5% caps expire in December 2018. In the first quarter of 2018, we purchased an additional $1.4 billion of caps at 2.375% to hedge 2019 and 2020. With the caps in place, roughly 96% of our outstanding debt is either fixed rate or hedged. As you can see on slide 20, we maintained strong rolling three month working capital metrics during the second quarter. For the quarter, our three month average cash conversion cycle was 17 days, up approximately one day from last year's second quarter and below our annual target range of high-teens to low-20s. Year-over-year, DSO and DPO increases primarily offset each other, largely reflecting the impact mixing into netted down revenues has on both metrics. The remainder of the change is driven by inventory, which reflects higher stocking positions and timing of shipments. Year-to-date, free cash flow, which we calculate as operating cash flow plus the net change in our flooring (28:52) agreement less capital expenditures was a positive $188 million compared to $254 million in the first half of 2017. The year-over-year change in free cash flow, primarily reflects rebuilding inventory and vendor mix. Last year, we mixed into vendors with extended terms and this year we mixed out of vendors with extended terms. During the quarter, we continued to execute against our capital allocation strategy and repurchased roughly 864,000 shares for $67 million at an average cost of $77.95 per share. Our capital allocation strategy is comprised of the following four components, which you see on slide 21. First, increased dividends annually. To guide these increases in November 2014, we set a target to achieve a dividend payout of 30% of free cash flow over five years. For this quarter, we will pay a dividend of $0.21 per share on September 10 to shareholders of record as of August 24, up 31% from year-ago. Since the IPO, our dividend has increased nearly five-fold from the initial annual level of $0.17 per share. Second, ensure we have the right capital structure in place. We have set a target to generally maintain net debt to adjusted EBITDA leverage in the range of 2.5 times to 3 times. We ended the quarter at 2.5 times. Third, supplement organic growth with strategic acquisitions, our CDW UK investment is an excellent example of this. And fourth, return excess cash after dividends and M&A to shareholders via share repurchases. At the end of June, we had $682 million remaining on our current share repurchase authorization. Our capital allocation priorities support our 2018 targets, which you see on slide 22. As Tom mentioned, we now expect full-year U.S. IT market growth to be in the 3% and 3.25% range and CDW to outperform the market by roughly 375 basis points on a constant currency basis. We now look for currency to contribute roughly 30 basis points to annual sales growth assuming year-to-go exchange rates of $1.30 to the British pound and $0.75 to the Canadian dollar. Given year-to-date exchange rates, this implies currency headwinds of roughly 30 basis points in the second half of 2018. Given our first-half performance and year-to-go expectations, we expect to exceed our previous 2018 non-GAAP EPS growth target in constant currency and now look for non-GAAP EPS growth to be in the high-20s. We expect currency to have a similar impact on EPS growth as sales growth. We continue to expect our adjusted EBITDA margin to come in roughly 5 basis points to 10 basis points or so below the high end of our high-7s to 8% annual target range as tax reform investments impact expenses. Keep in mind that these are annual targets not quarterly. Let me provide you with a few additional comments for those modeling the rest of our 2018 financials, I am on slide 23. Based on first half results and the expectations for the rest of the year, we look for sales in the second half to now be roughly 75 basis points lower than our historical seasonality split of approximately 52% in the second half. We expect a low single-digit increase in sequential average daily sales from Q2 to Q3 in line with the average of the past three years. We expect quarterly depreciation and amortization to continue at roughly $67 million per quarter, $47 million of which is for purchased intangibles. Annual book interest expense is now expected to be slightly below $155 million. We now look for annual equity compensation to be roughly $5 million lower than 2017. We also now expect to be at the lower half of our full-year non-GAAP effective tax rate range of 26% to 27%. Excess tax benefits will impact our GAAP tax rate in Q3 and Q4, but are excluded from the non-GAAP effective tax rate. Our annual non-GAAP EPS growth target is now high-20s in constant currency and is expected to grow approximately 350 basis points faster than non-GAAP net income. Finally, a few notes for those of you modeling cash flows, I am on slide 24. First, we expect our capital expenditures to be slightly above 0.5% of net sales on an annual basis. We also expect to deliver a cash conversion cycle within our target range of high-teens to low-20s. For the full-year, we expect a cash tax rate in the 26% to 27% range to be applied to pre-tax book income, before acquisition-related intangibles amortization, which is approximately $47 million per quarter. In addition, with the reduction in our tax rate, we expect to pay approximately $13 million in 2018 for tax-related to the cancellation of debt income we incurred in 2009. 2018 is the final year of payments. We continue to expect annual free cash flow to come in at the low end of our tax reform enhanced rule of thumb run rate between 3.75% to 4.25% of net sales. This reflects 2017's over-delivery of 50 basis points above our pre-tax reform rule of thumb due to timing and assumes we manage inventory in the ordinary course during the second half of 2018. Given 2017's over-delivery of free cash flow, we continue to expect to deploy cash in excess of 2018 free cash flow and you should expect us to return this cash in order of our capital priorities. That concludes the financial summary. With that, let's go ahead and open it up for questions. Can we please ask each of you to limit your questions to one with a brief follow-up. Operator, please provide the instructions for asking a question. Thank you.
Operator: Thank you. And our first question comes from the line of Amit Daryanani with RBC Capital Markets. Your line is now open.
Thomas E. Richards - CDW Corp.: Good morning, Amit.
Amit Daryanani - RBC Capital Markets LLC: Good morning, Tom. Congrats on a nice quarter by the way, guys. I have a question and a follow-up. I guess, let me start with. If I think about the growth rate you saw in Q2 around 7.5% and the first half is now, I think, average at 9%. And you said, you raised the 2018 guide, but it still implies growth is decelerating in the back half to around 5% versus the 9% you saw in H1. Could you just maybe walk through what are the drivers that are driving this deceleration in the back half or is it just a healthy dose of conservatism baked into the numbers here?
Thomas E. Richards - CDW Corp.: Yeah. Look, that's a good question. Some of it is just looking at what's in front of us. We've got some pretty challenging comps sitting in front of us. If you think about last year's third quarter, some if it is, you've heard some supply chain things knocking around that could impact client devices or another kind of thing that's kind of out there, staring us in the face, so as we have been thinking about this and we felt this way since the beginning of the year truthfully. We knew that the third quarter would be an interesting challenge, then have some opportunity to make up some ground on the fourth quarter. So, it's really just trying to look at those things, in light of the success we've had on the first half of the year. I think, general consensus, if you look at whether it's adding additional customer facing co-workers or some of the other comments we've made. We feel pretty good about our rhythm of the business. It's just some of those other factors.
Collin B. Kebo - CDW Corp.: Yeah. Amit, I'd just add a couple of thoughts to Tom's comments. One is, I think when you think about the first half of the year, we did 9% reported, but obviously currency was a tailwind, so think of it is 8.2% on a constant currency basis and remember we also got the benefit of the supply chain backlog that went in the first half of the year. And so, think of it on a more of a normalized constant currency basis, probably something more like in the high-7s is what we ran in the first half of the year. I know you were doing the math on the fly there, but if I think you take my thoughts on the full-year, it will give you something in the back half for the year in the mid-6s, high-6s, constant currency around there. So, I don't think the step down is as great as you thought; and again, Tom has explained some of the drivers around it, but think about the step up and the overlap we have as we move into the back half of the year, particularly in the international part of the business.
Amit Daryanani - RBC Capital Markets LLC: No, perfect. That's really helpful, guys. And if I can just quickly follow-up. I think I heard the NetComm revenues were down in the quarter. Could you just maybe talk about what drove that down, take it somewhat surprising, given the trends some of the OEMs are seeing. So, could you maybe just flesh that piece out a bit?
Thomas E. Richards - CDW Corp.: Yeah. For us, it was shipping. Our ridings, our bookings, whatever term you want to use felt good. We just had some challenges getting stuffs shipped. It was not to the same degree we saw in the fourth quarter, but had kind of similar characteristics, which is why I commented Amit on the confidence we have of the back orders getting out the system. I'd say that was the biggest driver and then a little bit is, for us, a lot of our NetComm growth in the last year or so was in K-12 and they've kind of digested a lot under the E-Rate program. So, I would say, it was really those two factors, which I feel more comfortable when we can articulate what impacted something when I talked in with confidence about our business going forward.
Amit Daryanani - RBC Capital Markets LLC: Perfect. Thank you. Congrats on the quarter.
Thomas E. Richards - CDW Corp.: Okay. Thanks, Amit.
Operator: Thank you. Your next question comes from the line of Matt Sheerin with Stifel. Your line is now open
Thomas E. Richards - CDW Corp.: Hey, Matt.
Matthew John Sheerin - Stifel, Nicolaus & Co., Inc.: Yes. Thank you and good morning, folks. Just a question regarding the guidance, particularly on the government area where you talked about some issues. You're guiding generally seasonally for Q3. Does that imply that you'll see the normal federal budget flush or given the issues and given some of the tough comps from last year, is that not going to play out?
Thomas E. Richards - CDW Corp.: I'll give you a headline and I'll let Chris give you some color, Matt. I don't know that I would sense that it's a normal year for us, in part, because of the slippage that you heard Chris talk about. That does give us some confidence as far as shipping; but I think when you think about some of the other factors that are somewhat new, Matt for example, the success of our cloud selling into the federal government, which kind of has, it's like a double-edged sword on one hand, it pressures your top line; but on the other hand, it creates a significant profit. I think that's part of the logic behind talking about what we think out of the federal government. We do expect state and local to continue its pretty amazing track record of growth. Chris?
Christine A. Leahy - CDW Corp.: Yeah, Tom, I would just emphasize that as we think about the third quarter, I would think more about the back half of the year, given the shipping delays we've experienced, we're being a little cautious there. And the positive is the cloud acceleration we're seeing in the federal space is really interesting, so I would look at the back of the year and say we're going to have – we expect to have pretty solid business performance, and I say solid business performance because we're overlapping some tremendous comps, so maybe not ecstatic growth rates, but very solid performance.
Matthew John Sheerin - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. That's quite helpful. And then, just shifting gears, well tying in the cloud acceleration you're seeing in federal, talk about what you're seeing on the enterprise and SMB side. I know there is a big client device upgrade refresh going on, but as clients shift their budgets towards solutions, do you think we'll see an acceleration there or whether it continue to be that hybrid model where they're upgrading their hardware and moving certain workloads off-premise?
Thomas E. Richards - CDW Corp.: Yeah. Matt, I continue to be, I guess a fan of the hybrid answer, because I think customers continue to, want to move workloads around. I think one of the things that we're seeing even more so now is the requirement for flexibility realizing that in any given period you may move workloads around. We do expect continued client growth as you pointed out in our Corporate business, but I also want to make sure that we draw attention to the good performance in solutions. So, it's not just fueled by one particular product category and it's ironic as far as cloud adoption in our business, while federal and state and local recently have become fast growers and adopters. Corporate is the organization that's got the highest volume of cloud solutions for our customers.
Matthew John Sheerin - Stifel, Nicolaus & Co., Inc.: Okay. Thanks a lot.
Thomas E. Richards - CDW Corp.: All right, Matt.
Operator: Thank you. And our next question comes from the line of Adam Tindle with Raymond James. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Adam.
Adam Tindle - Raymond James & Associates, Inc.: Thanks and good morning. I just want to stick on the cloud topic. Tom, could you maybe remind us of some of the cloud metrics. I think you've given cloud as a percent of gross profit dollars and I would have to imagine a good portion of that is Azure, because what I'm trying to get at is, I know AWS is not going to be as meaningful as those gross profit dollars in 2018, but just trying to get a sense for what it could be in 2019 and beyond.
Thomas E. Richards - CDW Corp.: Yeah. Well, if you think about it Adam, it is a combination of SaaS and Infrastructure as a Service that make up the bulk of the cloud business we do today. If you think about it in terms of workloads, its productivity, its backup, its business analytics, and security are the ones driving the cloud adoption. It continues to be – it had a meaningful high double-digit growth rate in net sales in the quarter. And as you do point out, since so much of that is netted down, you can assume that the gross profit growth is consistent with the sales growth, because they are virtually equal. So, we've been working on this since 2011, Adam, and I think the idea of creating kind of a cloud business unit within CDW, which gives you the ability to concentrate expertise is paying huge dividends for us.
Adam Tindle - Raymond James & Associates, Inc.: Okay. And maybe shifting gears to capital allocation. I know that slide used to say tuck-in accretive acquisitions and was changed to expand strategic capabilities over the past couple of quarters. Can you maybe just touch on the reasoning for that change and with over $1 billion, I think, availability in terms of credit lines. Would you consider an acquisition larger like that?
Thomas E. Richards - CDW Corp.: So, I'll take the first part, Adam. The answer to your last question is, yes. And look, I think we've tried to be really transparent about this. I think demonstrating the UK acquisition and the size of that and obviously our ability to successfully execute post the acquisition, it's a meaningful part of our growth strategy at this point. And there is an interesting reason for the slight change in verbiage. It had to do with I think the verbiage, of course had something accretive and people tended to think that meant immediately accretive versus accretive over the life of the deal, so we tried to get more clarity; but it's interesting when we try to get more clarity, we seem to get more questions along the way. But inorganic growth will continue to be part of our strategy and I think I've been pretty clear about that going forward. It will depend on right situation and we continue to look in the marketplace, but are thrilled with our organic growth along the way.
Adam Tindle - Raymond James & Associates, Inc.: Okay. That's helpful. Thank you.
Operator: Thank you. And our next question comes from the line of Shannon Cross with Cross Research.
Thomas E. Richards - CDW Corp.: Good morning, Shannon.
Shannon S. Cross - Cross Research LLC: Good morning. I just had, I'm curious, you're hiring a number of people obviously, your model is to hire. Given the tight employment market right now, are you seeing any challenges? Are you having to pay more? What's it like out there?
Thomas E. Richards - CDW Corp.: I don't know that we have to pay more, because our model is our model, but that doesn't mean we don't have to be more creative and more thoughtful and more focused on bringing people in. While we continue to increase the numbers I don't think the numbers are so big that it overly stresses the system, but I think your instincts are right with the labor market. It is a little harder and requires us to be a little more focused today than maybe four years or five years ago absolutely.
Shannon S. Cross - Cross Research LLC: Okay. Great.
Thomas E. Richards - CDW Corp.: I would tell you one thing, Shannon. The one area where you do see is when you're not so much hiring the salespeople; but on the technical side, is probably where you see a little more of the cost pressure than on the direct selling organization.
Shannon S. Cross - Cross Research LLC: And that's why everybody's kids should go be a coder.
Thomas E. Richards - CDW Corp.: Who said?
Shannon S. Cross - Cross Research LLC: No. Business people are important too. I guess, my other question is just from a client perspective and talking to the OEMs, certainly the leading OEMs, they seem to believe that this is going to be, maybe more sustainable at least on the Corporate side than sort of historical levels, just in terms of, in relatively mid-innings with the Win 10 refresh overall and people still looking to try to get more feature functionality out of the devices that are out there, so they need newer ones? I'm curious what your customers are saying. I mean do you see, I mean we hear some stuff, but do you see any kind of idea that this slows dramatically or do you think this is maybe something that lasts for a couple of years, maybe not at these levels though?
Thomas E. Richards - CDW Corp.: Yeah. Okay. So, I do think it's obviously lasting longer than we thought, which has been great. One of the things, I think Chris and her team has pointed out though is an interesting fact is some of what we think is driving, especially in the Corporate space, the client's continued growth is the full employment and that people are going to need more and more client devices to support full employment and so that makes some sense especially for that part of our Corporate world that's in the technology sector, so that would be number one. Then you have some kind of the counter would be, if there is some supply chain shortages. What does that mean? Now, we've been very proactive in that area as far as, this is where we get the leverage, our warehouse and distribution capability, because we can aggressively kind of buy more stock and make sure that we have availability for our customers. So do I think it continues? I think it's proven. It's gone longer than normal. What I'd say, I think you said multiple years. I'm probably not willing to go out on a limb yet and say it's multiple years.
Shannon S. Cross - Cross Research LLC: Great. Thank you.
Operator: Thank you. And our next question comes from the line of Katy Huberty with Morgan Stanley. Your line is now open.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Good morning.
Thomas E. Richards - CDW Corp.: Hey, Katy.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Hi, how are you?
Thomas E. Richards - CDW Corp.: Good.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Everything that you've said about hiring, the environment is certainly constructive, but I just wanted to ask about the Small Business segment, because there was a slowdown and that was the segment that led you into the acceleration on the better macro environment last year, so just curious whether you would read anything into that slowdown in terms of those businesses starting to react a little bit to whatever it is, the trade-rhetoric or the stock market starting to flatten out?
Christine A. Leahy - CDW Corp.: Hi, Katy. It's Chris. I'll start and then Tom can add additional color. We continue to see confidence in that market, so I wouldn't read too much into it. One of the key goals as we created the new business unit was to focus on profitable growth and the team did a terrific job this quarter doing just that, including frankly, improving client margins. So, when you think about cloud growth in that area that would mute the top line and how we sell and what we sell and the discipline around that. I think that may have contributed to a slower growth rate, but we were very much focused on profitability, particularly as we grow our eCommerce investments. And we continue to align resources to best deliver cost effective value to our customers. So, I really wouldn't read too much into that from a confidence perspective.
Thomas E. Richards - CDW Corp.: I don't have anything that I can add. Go ahead.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: That's a great segue to my second question, which is, I was surprised to see or hear that the product margins expanded, given the weakness in NetComm and storage, where margins are typically higher. Can you just talk about what drove the customer mix shift that allowed you to expand margins? It sounds like some of that came on the client side.
Thomas E. Richards - CDW Corp.: It did. I think one of the things is when you mix in and out of some segments. Katy, you remember that, those have different margins, had an impact. When you have the really strong software quarter we had on gross profits, that clearly lifted margins in the quarter. I would probably look at those two things as the biggest contributor and then we had as you heard, a really strong servers quarter, which again contributed, so I'd probably put it in those three buckets.
Kathryn Lynn Huberty - Morgan Stanley & Co. LLC: Okay. Great. Thank you so much.
Thomas E. Richards - CDW Corp.: All right. Thanks, Katy.
Operator: Thank you. And our next question comes from the line of Sherri Scribner with Deutsche Bank. Your line is open.
Thomas E. Richards - CDW Corp.: Good morning, Sherri.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi, good morning, how are you?
Thomas E. Richards - CDW Corp.: Doing great.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Good. I guess, I thought I would ask about the cloud business and the rollout of the AWS platform this quarter. How do you think about rolling that out over the next year and now you've got Azure and AWS. Are there other platforms that you have that you think customers are interested in?
Thomas E. Richards - CDW Corp.: Okay. Well, look as you heard, we're doing a pretty controlled introduction. I think one of the things that was really important to us, when you bring on a platform like AWS, and a new partner like AWS, is to ensure that the delivery meets everybody's expectations, not just the customers' but AWS's and CDW's. And so, our experience in doing this now, we tend to say look, let's make sure we get it right and then we'll roll it out to the broader group. Believe me, I've got lots of salespeople in other parts of the organization who are saying why not us, but our goal would be over the next, probably quarter to two is just to ensure we get the right kind of rollout and then probably more broadly in 2019. Regarding the second part of your question, we've continued to add partners to our cloud platform and we'll do so. I think at this point though, digesting AWS and then having the Microsoft Azure product, which has been a great source of growth for us and the AWS product is enough for right now as far as our focus, because one of the things we're careful of is we don't dilute our focus in the marketplace.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Okay. Perfect. And then thinking about your international business, Chris, I think you said referrals to the UK from the U.S. were up 30%. Are there additional businesses that you think it would make sense to add on at this point, additional acquisitions, or do you feel comfortable with your ability to grow your international business with what you have currently? Thanks.
Christine A. Leahy - CDW Corp.: Yeah, Sherri, I would echo what Tom said earlier and answer those questions with yes. We feel confident in our ability to grow internationally. We have a lot of good things happening, but particularly with Brexit looming, we continue to think about where it would make sense to expand internationally through acquisition, absolutely.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thanks so much.
Operator: Thank you. And our next question comes from the line of Paul Coster with JPMorgan.
Paul Coster - JPMorgan Securities LLC: Yes. Thanks so much for taking the questions. It sounded like, the solutions business in the UK and Canada is doing very well and it sort of compares to a slower rate of adoption in your North American segments. Is that correct? And if it is correct, what do you think accounts for the rapid place of adoption there on a relative basis.
Thomas E. Richards - CDW Corp.: Yeah. I don't know that I'd say it's a slower rate of adoption, the way I would describe it. I think there is a lot into a growth rate in a given quarter and some of it is the comp from the year before. And so, I don't think it was anything uniquely different. I think the referral business has been a good source of stimulus, if you will, for our UK business. In the case of Canada, they have just started within the last 18 months to really focus on solutions and so you still have a relatively small base, but they've now developed a good track record. So, I think the characteristics Paul are a little different in each. The supply chain issues become a little different in each and the actual composition of solutions are still a little different in each. So, I think that probably is a better way to think about some of the differences you get inside of solutions and as you know more so than the client business the solutions business can be more lumpy because of the size of the projects and I think that's another consideration.
Paul Coster - JPMorgan Securities LLC: That makes sense. You don't seem to be impeded in any way by the slight labor market, but I'm wondering if any of your customers or your customer segments are experiencing bottlenecks that might be slowing down sales a little bit for you as well.
Thomas E. Richards - CDW Corp.: I don't know. I'd let Chris. I don't think I've heard that and usually I hear just about every reason that exist on the earth if sales aren't as good as they should be, but I haven't heard that one, but now I may after your question. Chris, anything I don't think so.
Christine A. Leahy - CDW Corp.: No, we haven't heard, no.
Paul Coster - JPMorgan Securities LLC: Okay. Thank you very much.
Thomas E. Richards - CDW Corp.: Okay.
Operator: Thank you. And our next question comes from the line of Keith Housum with Northcoast.
Keith Housum - Northcoast Research Partners LLC: Good morning, guys.
Thomas E. Richards - CDW Corp.: Good morning, Keith.
Keith Housum - Northcoast Research Partners LLC: Tom, can you provide a little color – I guess because (57:12) we're hearing from some investors these days in terms of the potential trade war in tariffs. How it may impact the demand from your customers? Are you hearing any concern from your customers about what their spending patterns are? And that's the first part of the question. And second, in terms of the tariffs, are you seeing any pressure or do you anticipate any pressure on pricing of the products as it relates to tariffs?
Thomas E. Richards - CDW Corp.: So, let me make sure I get this. I think the first answer would be, do we hear about it? Yes. Do I think it's impacted their decision making at this point? No. So, I mean, if you look at our results, it would suggest that while there clearly is a lot of rhetoric out there and everyday it seems like a new bit of news. People seem to continue to focus on their business. So, from that part. And on the second part, we haven't seen what I would call meaningful impact on – as a result of the tariffs at this point, whether it's in increased costs or cost that we can pass along to customers.
Keith Housum - Northcoast Research Partners LLC: Great. And then just next question for you. In terms of the UK business and Canadian business, obviously you guys have shown some incredible growth rates in that area. Is all of that business sustainable in terms of the relationship being formed, (58:36) the sales guys are in place? Or is someone's being driven by one-off business that concerns you from a sustainability standpoint?
Thomas E. Richards - CDW Corp.: I think I'll let Chris answer that, because I'm interested in her answer. Go ahead.
Christine A. Leahy - CDW Corp.: I wouldn't think of it as a one-off business. There is great momentum in both businesses and I credit the teams there for being very strategically focused on how to grow their businesses and also what I'll call non-glamorous stuff of prescriptively managing the business. As we think about second half of the year, two things, first of all, they're both, they're incredibly high comps over last year, so while we expect them to continue to perform well and drive growth and execute end-market, we do have two incredibly high comps. The other thing is, just the uncertainty in both markets that we're often cautious of, but I would not think about it as one-off. I would think about it as strong momentum on the business based on implementing strategic initiatives quite well and executing end-market prescriptively.
Keith Housum - Northcoast Research Partners LLC: Chris, is it possible to provide any data in terms of the amount of employees you guys have added over the UK over the past year?
Christine A. Leahy - CDW Corp.: Yeah. I don't think – we don't provide that data. I can give you a little color and tell you that we are hiring in market in a way that is relative to how the growth is. So, we've been positively growing the co-workers – customer facing co-workers in both of those markets.
Keith Housum - Northcoast Research Partners LLC: Fair enough. Thank you.
Operator: Thank you. Unfortunately, that's all the time we have today for questions. So with that said, I'd like to turn the call back over to Chairman and CEO, Mr. Tom Richards for closing remarks.
Thomas E. Richards - CDW Corp.: All right. Thank you. Thank you again, everybody for your time this morning and your questions. And I'll leave you with a final thought. For those of you that are parents out there and I'm sure you started your summer with blissful dreams about summer vacations, that now has morphed into to watching the calendar. So hang in there, school starts soon. See you. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.